Operator: Good afternoon and welcome to the New Relic second quarter fiscal year 2021 earnings conference call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Peter Goldmacher, Vice President, Investor Relations. Please go ahead.
Peter Goldmacher: Thank you operator. Hi everyone. Thanks for joining our Q2 fiscal 2021 earnings call. We published a letter on our Investor Relations website about 30 minutes ago and we hope everyone has had a chance to read the letter together with today's earnings press release. Because of the level of detail we provided across these two documents, today's call will begin Lew providing brief opening remarks and then we will just dive right into your questions. During this call, we will make forward-looking statements, including about our business outlook and strategies, which we based on our predictions and expectations as of today. Our actual results could differ materially due to a number of risks and uncertainties, including the risk factors in our most recent 10-K and upcoming 10-Q to be filed with the SEC. Also, during this call, we will discuss certain non-GAAP financial measures. We have reconciled those to the most directly comparable GAAP financial measures in our earnings release. These non-GAAP measures are not intended to be a substitute for our GAAP results. And finally, this call, in its entirety, is being webcast from our Investor Relations website and an audio replay will be available there in a few hours. With that, I would like to turn the call over to Lew.
Lew Cirne: Thanks Peter. Good afternoon everyone and thank you for joining us for our second quarter fiscal 2021 earnings call. With me on the other call today to answer questions are President and COO, Mike Christenson, CFO, Mark Sachleben and Chief Product Officer, Bill Staples. Before we get to the Q&A, I just want to make a few comments. First and foremost, I want to thank everyone at New Relic who made very effort to get the latest version of New Relic One out the door in Q2. As we spoke in the last call, this was a huge accomplishment for our company. Second, I want to share my optimism about how the changes related to this momentous launch a set New Relic apart from our peers. While our financial results are mostly in line with the guidance we shared at the end of the first quarter, I don't think they fully reflect the early momentum we are seeing in the business. To that extent, I would like to make a few quick points before we move to Q&A. First off, ARR. ARR was in line with our guidance, but a little softer than we had hoped. We saw significant number of customers take advantage of the entitlements that we offered which effectively delayed some deals. The good news is, we are seeing our customers put a lot more data into our telemetry data platform which we view as a leading indicator of spending intentions. As we discussed on our last call, our new strategy is to offer the market-leading and most single source of truth for all our customers' operational data. We believe that data gravity well will attract more users to our platform, which will ultimately lead to increased revenue growth. If you recall, when we entitled our customers with unlimited access to our platform, that allowed them to get comfortable with our product and pricing transition and it would build demand within our customer base. While these entitlements effectively hit gross margin and delayed some sales cycles in the quarter, we saw a large number of customers sending us substantially more data. In the last month, we saw our data ingest rate grow at over 7% month-on-month, which would annualize to over 100% on a year-over-year basis. Not only our customers are broadly sending more data, they are also sending us more types of data, which indicates that our customers are embracing New Relic One as a complete platform. Since our July launch, we have more than doubled the number of customers who send us log data. The second point I want to make is about our transition from a subscription model to a consumption model. With the launch that we discussed in the last call, we are now moving to a consumption-based model that aligns the interest of New Relic with the interest of our customers. Customers love that they now only need to pay for what they use and they have control over what they use. And we believe this aligns our interest with theirs and that will also reduce in a stronger growth rate in the future. The last point I want to make is regarding dollar-based net retention. As you know, dollar-based net retention is a function of new ARR and churn. And we dropped below 100% for the first time ever last quarter. Our transition to a consumption model has had an impact on new ARR in Q2. And regarding churn, we continue to see a substantial portion of our installed base in the hospitality, travel and leisure industries struggle. And we are working to serve as a great partner to them during this time of difficulty for them with the belief that that partnership will be recognized by our customers when they bounce back. We do expect next quarter for our churn to improve on an absolute basis, which is significant because 3Q is typically our second-largest renewal quarter in the year. With all that said, operator, you can please open the line for Q&A.
Operator: [Operator Instructions]. The first question is from Sanjit Singh of Morgan Stanley. Please go ahead.
Mark Rende: Hi. Mark Rende, on for Sanjit Singh. Thanks for taking my questions. To start off, I want to dig into some of the moving pieces with the new pricing and product packaging. Like, generally, when you think about how many renewals like will it take to get the vast majority of the base on to the new pricing? And then maybe one follow-up after that.
Lew Cirne: Sure. I will let Mike Christenson take that question.
Mike Christenson: We are hoping it will be one cycle. We made huge progress with one month to go in the quarter and now as we are going through 3Q, it's a very small number of transactions that are staying on legacy model. So we hope we can get virtually a complete transfer in one renewal cycle.
Mark Rende: Got it. And then maybe a follow-up. Just trying to get some help with some like-for-like math on the new pricing model. Do you have a deal of the same value on an annual basis that's on the old pricing model or new pricing model, is there is an associated headwind in the new one? And then what are guys thinking about an uplifting in customer lifetime value as they move to that new pricing model? Thank you.
Mark Sachleben: I will take that. This is Mark. I will take that one. So when we look at the customers that transitioned to the new pricing model in the last quarter, as Mike said, we have been really selling this for one quarter, we saw that more than two-thirds of those customers had an uptick in spend. And if you look at the net change in committed amount from the ARR in the old model to be consumption model or new model, the committed spend was up about 15%. And so that's one measure. On the other hand, when we look at the customers that have reduced their commitment, it's really all about their consumption and the rate of consumption because when talking to customers, we know that some customers were uncomfortable with a certain level of spend, given these are challenging times, budgets are tight. So they would reduce their committed spend. But what we have seen, even in a short period of time, is some of those customers continued to consume at a higher rate than then they have committed to. And which says to us that over time, obviously over the course of a 12-month period, their spend would be up from what it was in prior period. So that's what we are looking at very closely is really the rate of consumption that our customers will be achieving and how that changes their plan. And that's going to be one of the biggest driving factors as we go forward.
Mark Rende: Got it. Thank you.
Operator: The next question is from Jack Andrews of Needham. Please go ahead.
Khanh Ngo: Hi. Good afternoon. It Khanh, in for Jack. Thanks for taking my questions. How should we think about what SKU mix will look like within your $100,000 customers in the future between full stack and applied intelligence. What SKU are you pushing your sales team to sell? And which SKU do you expect will generate greater account expansion?
Lew Cirne: Bill, do you feel comfortable taking that one?
Bill Staples: You bet. I am happy to talk about it. I will actually talk across the three SKUs. I think we mentioned last time, our new user and data pricing model starts with data-based pricing for ingest. That's the telemetry data platform, $0.25 per gigabyte, extremely competitive price point for ingesting all types of telemetry data. And as we mentioned last time, we anticipate that making up on average about 30% of our customers' total bill. The remaining amount then would be between full stack observability and our AI product. And the early customers converting to this model are bearing out what we previously had proposed about 70% of the remaining spend which is in the full stack observability and AI space. Majority of that is on the user model for full stack observability. The applied intelligence product is V1 launched just in quarter one. And so it's still gaining adoption and steam. We are happy with the early adoption, but it represents a small amount of the total spend at this time. And we anticipate it will continue to grow. But given the maturity of the full stack observability product and the price point that we can command for that, it will continue to make up the majority of spend for customers.
Khanh Ngo: Great. Thank you. And can you provide some details on the changes you have made to your sales team and quota plan to sell the two commercial SKUs? Are there any differences in the quota between telemetry data platform and applied intelligence? And how are you then anticipating new wins? There is a new [indiscernible] team?
Mike Christenson: It's Mike. We did not make changes to the quota plans as a result of this launch of the product. The key contracting vehicle that we have with our customers is an annual commitment that stays the same. It has components for users and data. But the field is compensated on the aggregate commitment. So it really didn't require a change in the comp plan. We do have incentives in our comp plan for new logos and new lands. Those we had them last year. We are continuing with that this year. We feel that that has been helpful. And as we go through 3Q and then 4Q, this December quarter we are in now and then March, we will make decisions on any other new ideas we have in terms of adjustments based on how we perform and the feedback we are getting from the market on their receptivity to this model.
Khanh Ngo: Great. Thank you for the color.
Operator: The next question is from Kingsley Crane with Berenberg. Please go ahead.
Kingsley Crane: Hi guys. We saw very good momentum of product announcement as well as your five-year partnership with AWS. A big reminder to the hard work you have done at New Relic. On AWS, you have worked with them for some time now. Could you remind us what is specifically incremental here? Is it the consolidated billing?
Mike Christenson: Sorry, yes, this is --
Lew Cirne: I was saying, Mike, please take that one.
Mike Christenson: It's an extensive collaboration on the product side. So we are doing product integrations. We are collaborating on development. And then we are also, for the first time, really collaborating on go-to-market. The overriding goal for this is to help our customers move to the cloud faster, cheaper and with lower risk, to make it easy for AWS customers to find and buy New Relic and to make it easy for AWS customers to use New Relic for observability of their AWS services. I think the important thing here is, we have a meaningful portion of our business today that is our customers monitoring workloads running on AWS and that happened really without an extensive collaboration between the two companies. Now we hope to see a dramatic increase with this new agreement, again, both on the product integration side and collaboration and on go-to-market. So it's committing senior leadership attention and resources from both companies to try and move this business to a significantly higher level for us.
Kingsley Crane: Okay. Thank you. That's helpful. It already looks really promising. One quick follow-up is that, you mentioned some of this incremental data ingest that you seeing on the platform and I think you have also mentioned some traction in free tier users. One question would be, have you seen new traction with increases in use in the enterprise base or what's really there?
Mike Christenson: We are seeing increases --
Lew Cirne: Sorry. I will take that one, Mike. We are seeing increased usage pretty much across the board in terms of ingest in particular. It's broad base. It's large customers. It's small customers. It's number of accounts. It's amount of data per typical customer. And then number of types of data for the customers. So we are encouraged that it's a pretty strong validation that the market wants a single place to put all your telemetry data, do that cost-effectively and now we think that our job is to, with that data gravity, we will attract more users, drive more value and then of course ARR, revenues will follow.
Kingsley Crane: Okay. Perfect. Thanks guys.
Operator: The next question is from Rob Oliver of Baird. Please go ahead.
Rob Oliver: Great. Hi guys. Thanks for taking my question. Mike, one for you. Just on the pressure on the ARR line. Obviously some of it understandable given the changes you guys have made to the pricing model. Historically you guys have done very well with some big logos in travel and hospitality. So just wondering if you could try to tease out a little bit how much of that weakness came from that macro and how much came from the pricing changes? And then I had a very quick follow-up.
Mike Christenson: So I will split the change in ARR into two pieces. The new part and the lost ARR part. On the new side, as we have said, we need to improve, dramatically improved sales productivity and we have been focused on changes to improve output. This quarter was, the September quarter is always a hard quarter because of July and August as you are finishing up the summer always feels that you have to do a full quarter business in one month. And we compounded that with the change in the business model and the open entitlements where we gave everybody the ability to explore the full platform through the end of the year. So it slowed down our close rates. When I look at the quarter, we had the capacity. We did a lot of great training to get people prepared to be able to present this new model to the market. We had the biggest 2Q pipeline ever. We just struggled to close at the levels that we wanted to close. And our expectation is we are gaining momentum, we are getting comfortable with how to present this to the customers. So we expect to improve that in 3Q. With respect to the lost side, we continue to see pressure from the pandemic and the economy on some customer sectors. We have talked about travel, hospitality and things of that sort. So we have seen some pressure there. We have seen some general pressure across the portfolio. We had one instance where one of our customers bought another of our customers and had a pretty significant consolidation of spend that impacted us this quarter. So I kind of put it into three buckets, just a general, you always lose some ARR for whatever reason, but we had the COVID and recession impact on travel and hospitality and then we had this one event with one customer.
Rob Oliver: Great. Thanks Mike. And then Mark, just a quick follow-up for you. Earlier with Sanjit question about the spending uptick eventually you see from customers who flip on this. You mentioned 50%, if I got the number right, sort of on average. And is that the expectation? In other words, were you seeing that prior to, I know Lew had mentioned that you guys are seeing really meaningful uptick in data ingestion. So I just wanted to understand, have those the upticks in data indigestion have been sort of consistent with what you guys had expected? Or could it drive upside to do that sort of a number? Thank you guys.
Mark Sachleben: Sure. So the conversion rates are roughly in line with what we did see in our trials. Overall, they are pretty close. I think a little below, but on the other hand, it was the first quarter we were going through that. And so I think we will see them rise. Our goal is to get them to rise as we get more comfortable with that process. So I think that's been a good verification of what we thought coming in. In terms of the data increase, there are two things we want to we want to look or talk about. One is the overall level of data ingest. And Lew mentioned that early on, we have been talking about that. We are seeing our customers send us more data. And I think a lot of that is due to the entitlements that we offered. There are other things too, the free tier and things like that. But one of the critical metrics we want to look at is what happens when a customer signs up on a New Relic One pricing deal. And so we look at the customers, all the cohort of customers, the first cohort that was signed up at the end of September 30, they are all of a sudden, they are on the new pricing, New Relic One, they are often going. And then we want to look at what's happening to their data ingest because they are paying for data ingest right away, right. The other folks still is in the entitlement phase. So now they are paying. So what happens to that data ingest growth? And so we have got one month of data. It's not much. It's fairly short but we like what we see that the data that those customers are bringing in is growing very nicely. As we go forward, we are going to look at that. At the end of December, we will have one month of data of what's going on with those customers. The critical thing here is, as they bring in more data, we are also going to be looking at how many seats they have, how many users are using FSO, right, full stack observability because we feel like that data growth and the different types of data that is going to ultimately drive the number of users. And so I think that's going to be a lagging metric, but ultimately we are going to be measuring both those things very closely. I think it starts with the data and then goes to the users and. And we want to see that consumption rises over time. So as we go forward, we are going to be looking very closely at sort of the equivalent of net consumption run rate, a net consumption expansion rate, if you will. That sort of metric and that's what we will be really looking to drive because that's what's going to show really what our customer is doing and how they grow.
Rob Oliver: Helpful. Thanks Mark. I appreciate it.
Operator: The next question is from Jennifer Lowe of UBS. Please go ahead.
Jennifer Lowe: Great. Thank you. I wanted to touch maybe just quickly first on ARR. We talked about some of the puts and takes there, but something that came up in the last call was that there was also a thought that there could be some downshifting of customers into the free tier and that I think you had given sort of a $15 million to $20 million impact potentially associated with that. Are you seeing that at this point? Is it something that could happen? What's sort of the latest thinking around that effect?
Bill Staples: So we talked --
Lew Cirne: Bill, go ahead.
Bill Staples: So we talked a little bit about three tiers. You probably remember from the past announcement, we introduced this really generous perpetual free tier to developers. It gives them 100 gigabytes of data every month and a full stack observability user for free. It's a free trial like some of our competitors. It's a perpetual free tier and replaces what previously cost thousands of dollars in subscription cost per year. And we are doing that because we believe we are really in the early days of observability and we want to encourage every developer, including tens of millions of developers today, to make observability part of their daily workflow without any strings attached. We are really encouraged by the early signs of success with free tier. We anticipated that downshift in revenue has actually been less than anticipated. And in the first few months, we are seeing 10 times the number of developers actively engaging with the platform at those previous couple of thousand dollars spend level. So we are really cautiously optimistic that these developers will realize the power of the platform, make it part of their daily workflow and bring it into their enterprises to consume as much higher levels than the past.
Jennifer Lowe: And I wanted to also ask about the open entitlements and what happens at the end of this calendar year when those expire. These customers have put a fair amount of data into New Relic. Presumably, the aspiration is then they start paying for that. But you are certainly seeing some gross margin headwinds there. So first, how do you think about December 31, 2020? Do you expect some of those data volumes to retrench? Or do you expect gross margins to expand? What does the business look like once we kind of get through this period?
Lew Cirne: There is a lot we are going to learn over the quarter. We see there's all of the encourage signs. Certainly, there is market demand for more data in our platform. We think that a meaningful number of customers that just translates into more pipeline, more opportunity for us to pursue when they do move to this model. And then there will be some customers who will manage their data ingest with more precision to fine tune their consumption of our platform. And they can see that by the hour as a New Relic customer. So I think that offering to customer that flexibility and that transparency again will attract more customers and will result in better growth of the business. Long term, as we complete our transition to the cloud and we focus on many ideas we have to further improve the cost of ingesting data, we think that we can return to gross margin in the 80% range. And so that is a long term goal, even a medium term goal, I would say. But we will have more to report on that after we get through the current quarter.
Jennifer Lowe: Great. Thank you.
Operator: The next question is from Sterling Auty of JPMorgan. Please go ahead.
Matt Parron: Hi guys. This is Matt, on for Sterling. Thanks for taking the question. Looking through the shareholder letter, I noticed you guys were talking about some customers didn't have enough time to understand the changes from going from a subscription to a consumption-based model. I was wondering how long do you think it will take for customers to understand the implications? And in addition, how much of the revenue in this quarter was driven by this new pricing model relative to subscription in new deals? Thanks.
Lew Cirne: So obviously, we announced this and had a relatively short window to educate customers on this new model and begin to convert them over to this new model. And in some cases, customers had approval processes or there were already negotiations underway. And it was too difficult to actually transition to the new model. So we simply renewed them on the existing model, the legacy model. About three quarters of September's deals were on the new model. And since that we closed September, that number has been going up pretty significantly. So I think it was just, I would describe it as, you came out with a new announcement, business was underway in many cases and we wanted to make a transition but we didn't want to force customers in this quarter, if it was too complicated or too challenging for them to do that. Going forward, we expect that virtually all of our customers will transition to this new model
Matt Parron: Great. That's very helpful. And then I guess just one follow-up. Just kind of unpacking some of the moving parts on ARR, so you have talked about some of the churn this quarter, the free perpetual tier, the decision to offer existing customers the unlimited use for the product. How do you think about those moving parts in terms of how it relates to driving ARR acceleration? How should we think about those moving parts going forward in ARR? Thanks.
Lew Cirne: Going forward, it's users and data, right. We want to get more users using the platform, sending us more data, sending us different types of data, using all of the capabilities of the platform. So our focus with our existing customers and new customers is to get them on the platform, let them experience the platform, understand how it can help them and growing users and data.
Matt Parron: Great. Thanks guys.
Lew Cirne: It's probably worth repeating also that a key component of ARR is obviously lost ARR in the quarter and we do expect that to improve in the current quarter on an absolute dollars data system, therefore substantially on a percentage basis.
Operator: The next question is from Robert Majek of Raymond James. Please go ahead.
Robert Majek: Thanks. Following up on a prior question. You mentioned that the average uplift so far around, conversion has been around 15%. And I know you don't have a lot of data yet. But has that average uplift remained somewhat consistent? Or did that figure perhaps start to tick up in the October cohort?
Mike Christenson: October being the first month of a quarter, it's hard to say. We expect to develop more, I don't know how to say it, get better experience with our customers and how they are embracing this new model and how the pricing affects them. Obviously, there are customers, as Mark said, that go off. And on average, that's been about 15%, including the ones that actually have a reduction in spend. So we think that as people explore all of the entitlements, use the full capabilities of the platform, by the time we actually get to their renewal, they may look very different from the way they look today. They may have more users, may have more data when we come to their renewal, hopefully because they have been exploring the full capabilities of the platform. So I am hesitant to say, hey, the 15% is going to grow through this quarter. But that is the whole point. And not as a price increase but because more people are using the platform and they are using it in a broader way.
Lew Cirne: Yes. And Mike, I would just add, again as we think about the world in subscription versus consumption, we are moving to consumption. And when you go through a renewal, think about the customer going through a renewal these days. They are sitting there. They have got budget pressures. They got a lot of uncertainty in the external environment. And they are saying, what do I want to do? How much do I. want to commit and spend. And from our standpoint, that's an easy conversation to have to say, just commit what you are comfortable committing, right. Because it's all about what you are consuming. And so that number could be 15%, could go up, could go down a little bit. But again the critical thing is, once that transaction has been completed, what happens then? And we want to make sure that they really enjoy getting all that data that they give us more data that continues to grow and then the users grow as well. And so again, it's different than, I just want to emphasize how different that consumption mentality is versus where we have been which is all subscription model.
Robert Majek: Got it. And just one follow-up for me. With the longer sales cycles this quarter, have you heard any customer pushback? Or is it just really timing with customers currently just enjoying the open entitlements that you are offering?
Lew Cirne: We have not heard customer pushback. In many cases, there is still a bit of a negotiation. It's like any commercial transaction. But this has been very well received by customer base. And when you think about it, as I said earlier, three quarters of the September deals were on the new model. That's with virtually zero notice, right. They had a renewal or they were doing a deal, we converted them to the new model in 30 days. That's a pretty powerful statement and it's increasing from there.
Robert Majek: Great. Thanks a lot.
Operator: The next question is from Rishi Jaluria of D.A. Davidson. Please go ahead.
Rishi Jaluria: Hi guys. Thanks so much for taking my questions. Two here. First, going back to the AWS partnership, obviously nice to see that. Would you anticipate maybe building out similar sort of partnerships or integrations with the other hyperscale cloud platforms? And how should we be thinking about the potential there? And then I have got a follow-up.
Mike Christenson: The short answer is yes. Short answer is yes. We actually run today on AWS but we also run on Google and IBM and are having conversations with Microsoft. So we do believe in a multi-cloud world. And we need to have the similar partnerships with the other players.
Lew Cirne: And I would say like what's motivating this is, our strategy is to reach every professional developer with our observability platform. And we want to meet them where they are with an experience that flawlessly integrate. Our mission is, we want to be even more seamlessly integrated with those cloud providers' offering they may have that have some overlap with ours. So that's what we are trying to strive for and what's driving it. It is like a customer's success that will ultimately lead to happier customers, which will be more users, more gigabytes of data and then revenue growth.
Rishi Jaluria: Got it. That's helpful. And then I just wanted to square back to the Q3 revenue guidance which I know you have walked through a lot of the puts and takes. But maybe just wanted to make it a little bit more explicit. So you are calling for a sequential decline in revenue from Q2 to Q3, in spite of the fact that you are guiding to ARR actually being up next quarter and ARR has been flat to slightly up this quarter. Can you maybe walk us through the assumptions that you have modeled in, in the Q3 outlook? And how much related to churn and downgrades and how much of that is just general conservatism given the unknown in the environment? Maybe help us kind of walk through how you are getting to that range that you have guided us on the revenue side? Thanks.
Mark Sachleben: Sure. So from an ARR to revenue conversion standpoint, most of our deals come in the end of the quarter, right. Everyone loves sort of the linearity. Unfortunately, that's not generally the way it works, right. Most of businesses in last month and last couple weeks of the quarter. So incremental ARR in a certain period tends to drive revenue in the following period as opposed the current period. So if you want to look at a revenue change in Q3 versus Q2, I would really look to the incremental ARR that we achieved in Q2 as the driver for the revenue growth in Q3 and you can see that was generally flat. The other thing is, as we move to this model and right now a very small percentage of our total business is on our new model, but more and more will be moving in that direction. And I think there is a lag in when people are consuming and when that revenue shows up in your topline. And it also doesn't necessarily translate perfectly to ARR, right, because the spend level is what's important as opposed to commitment level. So those factors together along with uncertainty around in the overall environment is what led to the guide.
Rishi Jaluria: Got it. Very helpful. Thank you.
Operator: The next question is from Erik Suppiger with JMP Securities. Please go ahead. Hello, Eric, is your phone muted?
Erik Suppiger: Yes. Can you hear me there? Can you hear me?
Operator: Yes. We can hear you.
Erik Suppiger: Sorry about that. I would be curious about the tenfold increase in the customers for the free tier. Where do you think of those customers are coming from? Are they customers that are using their own organic observability technologies? Or are the coming from other competitors? And then I have a follow-up.
Bill Staples: Yes. We believe still most of our business to win is greenfield developers who have not yet begun embracing observability but want to. And I think that's focus. Of course, one of the major challenges the customers have is the proliferation of both open source and commercial solutions that offer capabilities in part, but not this kind of full stack visibility the New Relic offers. And so we believe, by offering this platform approach with pricing models that advantages us in terms of standardizing on New Relic for all of your observability needs will attract both customers who are using competitive products, but most importantly be the most comprehensive solution for new customers and new developers.
Erik Suppiger: Okay. And then on the AWS relationship. I don't think I have heard of any of your competitors talking about five-year relationships. Can you just talk a little bit about the exclusivity or nature of that relationship as that would compare to how of some of the others are working with AWS?
Mike Christenson: It's not exclusive. I would describe it as a serious commitment from both companies to build an important partnership for product integration and go-to-market. And that isn't a one quarter, two quarter, one year commitment. We wanted to make it clear that this was a long term commitment, an important part of our business going forward and we are prepared to make a five-year plan. And they were happy with that. I don't know how that compares to our competitors. But this is probably our most important strategic relationship at this point.
Erik Suppiger: Very good. Thank you.
Operator: The next question is from Keith Bachman of BMO Capital Markets. Please go ahead.
Dan Salmon: Hi. This is Dan, on for Keith. Thanks for taking my questions. In your prepared remarks, you discussed the higher data ingest rate. But can you maybe talk about what you are seeing in terms of monitoring second and third tier applications versus more mission-critical applications? Thanks.
Lew Cirne: It's a good question. I don't think we have hard data handy on it. But what I can speak to as an understanding of the trend is, applications are composed of many, many interconnected services and it's stunning to see how interdependent and interconnected things are. So what people might think of as a first tier application, the customers often discover, boy, it has a dependency on something they didn't think of as first tier, but now by dependency is. And so the way they often discover that is on our platform. And so they have a desire to basically see everything that runs in production, particularly anything that starts with a customer interaction, right. And you take one of our customers, it's a major global apparel company and they have got a o large portion of their business is online and so the number systems involved in delivering that apparel to the customer is mind-boggling. And it just drives a tremendous amount of telemetry data into our platform.
Operator: This concludes our question-and-answer.
Lew Cirne: Do you have a follow-up question?
Mike Christenson: Yes. I guess, before jumping there, I just want jump back to a question that was mentioned earlier. I tried to tried to jump in and of course the 2020 phrase of you are on mute haunted me. But I just wanted to get back to the gross margin question briefly and on our transition and migration to the cloud. As you know, we are going through that. We were pleased with the data ingest growing but of course that puts pressure on margins. Our cloud migrations moving very nicely and we are confident in our ultimate medium term trail back to the 80 percentage rate gross margins. But given the increased data that we are seeing this year, we expect gross margins for the full year to be in the mid-70s or so. The earlier guide, I think, was upper-70s. So I just wanted to get that out there. And also just talk another comment around the movement in metrics. We have been getting a lot of questions about this from investors. And so just want to -- the net expansion rate that I talked about, which is really ARR driven, we are going to be looking at a net revenue retention or net consumption retention expansion rate going forward. We will be talking about that and gradually transitioning to that, as we go through the next quarters as we get more and more historical data with more customers on our new pricing. So you will hear a lot. We will be talking about that a lot more going forward. And so you can look for that in the future quarters' announcements.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Lew Cirne for closing remarks.
Lew Cirne: I thank you all for joining the call today. I know it's a very busy evening. Many companies are doing their results. I mean the short version, we have conviction in the strategy that we launched last summer. We realize we are very early in that transition and so we don't have an awful lot of data, but the early data we have gives us encouragement that the market has demand for this approach and that it's differentiated it's resonating well with customers. But there is a lot of follow-through we need to do in execution in order to move the customer base over and move them from being subscription oriented to consumption oriented. But these are all the right moves, we believe, will result in the kind of growth rates that we aspire to as a company.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.